Operator: Good day, ladies and gentlemen, and welcome to the Sands Fourth Quarter 2024 Earnings Call. At this time, all participants have been placed on a listen-only mode and we'll open the floor for questions and comments after the presentation. It is now my pleasure to turn the floor over to Mr. Daniel Briggs, Senior Vice President of Investor Relations at Sands. Sir, the floor is yours.
Daniel Briggs: Thanks very much. Joining the call today are Rob Goldstein, our Chairman and CEO; Patrick Dumont, our President and COO; Dr. Wilfred Wong, Executive Vice Chairman of Sands China; and Grant Chum, CEO and President of Sands China and EVP of Asia's operations. Today's conference call will contain forward-looking statements. We will be making those statements under the Safe Harbor provision of the federal securities laws. The company's actual results may differ materially from the results reflected in those forward-looking statements. In addition, we will discuss non-GAAP measures. Reconciliations to the most comparable GAAP measures are included in our press release. We have posted an earnings presentation on our website. We will refer to that presentation during the call. Finally, for the Q&A session, we ask those with interest to please pose one question and one follow-up so we might allow everyone with interest the opportunity to participate. This presentation is being recorded. I'll now turn the call over to Rob.
Robert Goldstein: Thanks, Dan and thank you for joining us today. We'll begin with Macao. The Macao market continues to grow. Gaming revenue for the market grew 6% in Q4 of 2024 when compared to the fourth quarter of 2023. Mass gaming revenue grew 5% in the quarter compared to one year ago. We believe the Chinese economy will grow and Macao market will grow as well. Gross gaming revenue in Macao should exceed $30 billion in 2025and continue to grow. The scale and quality of the assets we have built are second to none and our access position enables us to grow faster than the Macao market in every segment. Our business strategy remains clear and constant. We are investing in high quality assets that also have scale. We've designed our capital investment programs to ensure that we will be the market leader in the years ahead. Our approach will enable us to grow faster in the long-term, grow our share of EBITDA in the Macao market and generate industry leading returns on invested capital. Why are we so confident in our future success? In a competitive market like Macao, our assets give us a strong advantage. The scale and quality of the room inventory coupled with our retail, dining and entertainment enables us to tailor our offerings to attract the most profitable customer service. Turning to our results in Macao, we do have a solid EBITDA for the quarter despite having 20% fewer rooms available in Cotai than we will have once the Londoner is completed by the second quarter of 2025. We opened the Londoner Grand Casino in the last week of September and operating 315 Londoner Grand Suites during the quarter. We will introduce more Londoner Suites during the next two quarters. Today, as the Lunar New Year begins, we have approximately 1000 Londoner Suites and rooms in service. The full complement of 1500 suites 905 rooms will be in service by May of 2025 finally. SCL continues to lead the market in gaming and nongaming revenue and market share of EBITDA. Our objective is to capture high value, high margin tourism. We have a unique competitive advantage in terms of the scale, quality and diversity of product offerings. Upon completion of the Londoner in May, our product advantage will be more pronounced than ever. Moving on to Singapore, another strong quarter of $537 million in adjusted property EBITDA mass gaming has reached $746 million a quarter, reflecting a 71% growth in the fourth quarter of 2019 and 28% growth in just one quarter a year ago. The results of Marina Bay Sands reflect the positive impact on our capital investment program and the growth of high value tourism. The growing appeal of Singapore as a destination is enhanced by the robust entertainment and lifestyle event calendar. As you complete the balance of our investment programs in the first half 2025, there will be considerable runway for growth. Thanks for joining the call. I'll turn over to Patrick before we go to Q&A. Patrick?
Patrick Dumont: Thanks Rob. There's something I want to mention before we get started with the details of the quarter. The fourth quarter tourism to the Macao market was impacted by the celebration and events in December that marked the 25th anniversary of the Special Administrative Region of Reunification with China. Macao EBITDA was $571 million for the quarter. If we had held as expected in our rolling program, our EBITDA would have been higher by $22 million. When adjusted for lower than expected hold in the rolling segment, our EBITDA margin for the Macao portfolio of properties excluding the Londoner would have been 35.1% or down 230 basis points compared to the fourth quarter of 2023. Our turnover rents in Macao were $27 million lower in the fourth quarter of 2024 than the prior year fourth quarter. Our margins at the Londoner were directly impacted by the reduction in available room inventory during the quarter. We will have approximately 20% rooms and suites on Cotai by May of this year and approximately 47% more rooms at the Londoner as we complete the Londoner Grand renovation. Margin at The Venetian was 36.7% while margin at the Plaza and Four Seasons was 37.2%. We continue to expect margin improvement as our revenues grow, as we use our scale advantages to better address the unrated play in the market and as we focused on managing our costs including refining our reinvestment with optimized cash flow. As Rob mentioned, we are nearing the completion of our Londoner Grand renovation program. Upon completion, our competitive position will be stronger than ever. We expect meaningful EBITDA growth and margin expansion in the future. Turning to Singapore, MBS' EBITDA came in $537 million. Assuming expected hold on a rolling play, our EBITDA would have been approximately $2 million lower. The strong financial results reflect the impact of high quality investment in market leading product and growth in high value tourism. Had we held as expected in our rolling play segment, MBS' EBITDA margin would have been 47.2%. We will have substantially completed our $1.75 billion reimbursement program at MBS by May of this year. We are still in the initial stages of realizing the benefits of these new products. We expect growth in the future as we continue to attract high value tourism to Singapore with our enhanced product offering. Turning to our program to return capital to shareholders, we repurchased 450 million of LVS stock during the quarter and paid our recurring quarterly dividend of $0.20 per share. Our annual dividend will increase to $1 per share or $0.25 per quarter for the 2025 calendar year. In addition, we purchased approximately 250 million of Sands China stock during the quarter and in January of 2025, bringing LVS equity interest in Sands China to approximately 72.3%. We look forward to continuing to utilize the company's capital return program to increase returns to shareholders in the future. Thanks for joining the call today. Now let's take questions.
Operator: Thank you. [Operator Instructions] And the first question today is coming from Carlo Santarelli from Deutsche Bank. Carlo, your line is live.
Carlo Santarelli: Hey guys, thank you. Patrick, obviously you guys have been active in the Sands China stock. And when you look at kind of the valuation of that stock today, coupled with the announcement of the dividend increase, is your thinking changed at all around the way you allocate capital, perhaps maybe being more advantageous looking forward with respect to the SCL shares?
Patrick Dumont: Look, I think we really believe in the SCL story. We've been big investors in growth in Macao for years. And if you look at our investment program, it's designed to grow our business and our strategic advantages there. And we've been investing to create growth for 2025 and beyond in every segment. Look, our view is that we want to execute against our massive asset base there and I think for us, the way we show that is not only through growth, but also through acquiring more shares. We want to own more of SCL and you'll see us be active in the market over time to do that. We really believe in SCL. We think there's real value in the future in owning the shares there and so we're going to exercise against that thesis.
Carlo Santarelli: Very good, thank you. And then if I could just follow up, as it relates to MBS, there's clearly been a lot of change in the property. All the rumor models, all the things that you've been doing over much of 2024 and in the fourth quarter, you know, clearly across the math side, whether it's drop revenue on the table side, drop revenue on the slot side, you guys saw a very nice acceleration of year-over-year growth when looked at relative to the 3Q. How much of that do you think is, I don't know, maybe exogenous or maybe and I don't want to say one-time, but a result of some other things going on in the market versus how much of that is the successes of kind of the capital you put in and the fruits of that?
Robert Goldstein: One thing I would say Carlo, it's not a one-time event. It's an ongoing event that keeps accelerating. I think you're right. It's a good observation. I look at these numbers non-rolling win and slot win is a $3 billion dollar run rate. That's pretty astounding. And I think it's a few things that are in our favor. One is a very strong market, but also really great assets are coming to fruition. So when you invest heavily in something is that good a market, you get the right thing, right place, right time, it all comes together. It's not a one-time thing nor is it peaked. The final product will be there this summer. It's an amazing place. I think you've been there recently and it just keeps on going. But you're right, the acceleration year-on-year is truly exceptional. But I think we're just at the beginning of a huge growth surge in Singapore. It's not going to end. We're the right place, right time with right product.
Patrick Dumont: Hey, one thing I do want to say is, the key thing about Singapore and you've heard Rob and me and the rest of the team talk about this on many quarter calls, the key thing about Singapore is about the quality of tourism. It really is an unbelievable market in terms of the value of the tourists showing up there and we've been very focused on investment in the highest quality of assets to match that high quality of tourism. I think for us this quarter validates the investment thesis and the growth that's available to us in this market because of the strength of what's going on in the catchment area. And so when you look at Singapore as a market, it's incredibly strong and desirable. There's a growing high net worth population, there's growing high value visitation, there's a lot of business activity there and there's continued investment in strong tourism infrastructure. So from that standpoint it's a very unique market and we really believe in it. We think the highest quality cash flow in our industry.
Carlo Santarelli: Thank you both very much.
Robert Goldstein: Thanks Carlo.
Patrick Dumont: Thanks Carlo.
Operator: Thank you. The next question will be from Robin Farley from UBS. Robin, your line is live.
Unidentified Analyst: Hi, thanks very much for taking my question. This is [indiscernible] for Robin. I know you don't talk about the current quarter, but I was wondering if you could take a few minutes to give us your overall take on the Chinese consumer. What you are seeing in terms of bookings for the upcoming holiday and more importantly, do you feel there are macro indicators that the base consumer could return to pre-COVID levels in Macao this year? How do you see that recovery? And then I have a quick follow up.
Patrick Dumont: So I think first off, I think we're still talking about a $30 billion GGR market. It's the largest gaming market in the world. It's been growing. It looks like it's going to continue to grow for the foreseeable future. We believe very strongly the strength of this market. We've been investing into it for that reason. I think it's very hard for us to point to a specific indicator of the Chinese consumer that is an indicator for our business since we represent such a small level of penetration into our core market, which is China. And so, from our standpoint, we sort of look at the market. Would we do better with a stronger Chinese economy? I think that's an easy thing to say yes to, but I think overall we're very happy with the direction of our business, our investment and hopefully as things progress over time, we'll be the beneficiary of a stronger Chinese economy and see our investments produce more cash flow. Grant or Wilfred, do you guys have any other comments regarding this question?
Grant Chum:
Macao:
Unidentified Analyst: Thank you.
Robert Goldstein:
Macao:
Macao:
Unidentified Analyst: Thank you all. I just have a quick follow up. Could you share your latest thoughts on New York license? If iGaming, you know, could be legalized there two years into construction, let's say as an assumption, sort of your thoughts how that changes the return profile of a potential casino in that market?
Robert Goldstein: You've asked and answered my concerns. First, I believe in New York as a very strong market which is under consideration those companies a long time. However, the iGaming possibility, to me in any market that has land based gambling and has sports betting, iGaming seems inevitable. And so I think you have to agree with your comment that sometime during the construction phase you could be faced with iGaming competitor which dilutes the value of the product. So that's our conundrum and you said it well. The results coming out of neighboring states like New Jersey or Pennsylvania or as far away as Michigan underscore that concern. So you've asked and answered the question. Great market, we'd like to be there. The caveat is how do you deal with the ongoing threat which appears to me to be inevitable in a lot of states, especially those that have land based properties coupled with sports betting. I don't know why you wouldn't have iGaming sometime in the future. So that's our concern as we look at that market. You're absolutely correct.
Unidentified Analyst: Thank you very much.
Operator: Thank you. The next question will be from Shaun Kelley from Bank of America. Shaun, your line is live.
Shaun Kelley: Hi, good afternoon everyone. Thanks for taking my question. Robert and Patrick, I want to start with just the Londoner. Obviously some of the disruption timing probably came in a little bit differently than maybe everybody thought. But could you just walk us through your thoughts about kind of ramp-up from here and how we should think about it? It's a pretty big margin drag. I think it's pretty understandable given the impact of hotel rooms on margins. But just help us think about maybe your thought process behind how that property should ramp in the next couple of quarters if you could?
Patrick Dumont: Yes, you know, I think it's really interesting because I have to hand it to the team in Macao. They did a phenomenal job this quarter being disciplined in our reinvestment actually generating this much EBITDA with that many rooms out. We are an inventory, a room inventory driven reinvestment model. So we base our reinvestment on the scale of our ecosystem, the diversity of amenities, the quality of room product, the quality of experiences. And so when you're down 20% of your inventory, there will be a meaningful impact into your productivity because we carry the expense base, right? Our second largest expense is payroll, and that doesn't change and so we had less inventory to sell in the quarter. There wasn't disruption, there was just less inventory. So, you know, credit to the team for creating the quarter that they did in this market, given the competitive dynamics. But I think now that we start to get these rooms back across the quarter, these 2,000 rooms, think about it, it's two thirds of a Venetian. When you think about the productivity of the Venetian resort, the Venetian Macao, and the room count that it has and the number of tables and the scale that it has, imagine if two thirds of the rooms were not available and that's the case with the Londoner. And so they were able to create this performance without that inventory. The good news is it's coming online. Some of it is online now, and the rest of it should be online by May, as we mentioned in our opening remarks. And that should position us well to get to our ultimate goal, which is to have two properties that have an equivalent run rate. And maybe one day the Londoner does better than the Venetian because of the key count. But I think the opportunity is there for the productivity to really increase now that the rooms are becoming available and now that we've completed this renovation, which in our mind creates one of the best properties in the history of our business. And we're not just saying that because we did it, we think it's really good. So I think from our standpoint, we have the Venetian, we have the Londoner, we have the Four Seasons, we have the Parisian, we have this high quality portfolio and getting these rooms back online will enhance our competitive positioning, but also allow us to grow cash flow and EBITDA, because we're carrying the expense anyway, and now we'll have the inventory to sell. So I think it was pretty meaningful, but I do want to give credit to the team there for the quarter they put up. Grant, do you have any comments?
Grant Chum: Yes, Patrick, like you said, the room inventory was at the low point during the fourth quarter. Like we said last quarter, it reached the lowest point, around 8,700 keys in November and December. And for the whole quarter, we continue to have the 315 Londoner Grand Suites. And then shortly after the year end, we got license for further 700 suites and keys. And so for this Lunar New Year, we have at our disposal just over 1000 keys to use from now on. We expect that the continued ramp-up in rooms to continue throughout the first quarter and the first part of the second quarter culminating the goal is to have the full 2405 keys fully operational by May Golden Week and we believe we can achieve that. Construction wise, we're well on track. It's a matter of statutory licensing at this point.
Shaun Kelley: Thank you both. And then maybe just as a quick follow up, going back to New York, Rob, we did notice that New York did not include the casino licenses or the downstate casino licenses in the state budget figures. So we were just kind of curious. Does this imply, you know, as it may, especially given the timing of the fiscal year, that the downstate process is slipping further, at least for, I think, the third license that many of us are very focused on here for LVS. Thanks.
Robert Goldstein: Hard to say. I can expect that you are, but I don't know you're right or wrong. I think it wasn't a budget. It wasn't a budget. I don't really know the answer to that, Shaun to be honest with you. It's hard to determine what -- I keep hearing it's going to be this June for the determination of a license by year end. Again, as you're saying, it's hard to know because they haven't been clear about this for a long time. Have to wait and see with you.
Shaun Kelley: Fair enough. Thank you very much.
Robert Goldstein: Sure, Shaun.
Operator: Thank you. The next question will be from Brandt Montour from Barclays. Brandt, your line is live.
Brandt Montour: Good afternoon. Thanks for taking my question, everybody. So, follow up on Shaun's question on the Londoner in the Pacifico Casino floor, especially which I know you owned, were you -- sorry you opened in September, but without many hotel rooms above it, I have to imagine it was hard to activate that casino floor in the fourth quarter. Can you give us a sense on how you activate the casino floor and if 1,000 rooms would be enough natural foot flow to actually create a buzz and get that asset almost sort of all the way up and sort of producing before you can get the last batch or is it specifically correlated with how many rooms are open?
Robert Goldstein: I'm just laughing because the question to me is pretty simply where you in our industry, whether it's Macao or Las Vegas or Idaho or you have sleeping room above you is where you get gambling below you. So it correlates. The more rooms, the more gambling. 1000 keys is still a lot of people, I think. Yes, it can create a buzz, but that buzz will obviously increase as you have more keys. So 2000 is better and 2400 is better than that is enough. Sure, it's better than having 300, but again to your point, it begins with only 300 this quarter, then goes to 1000 during Lunar New Year and eventually get this spring to 2400 I believe. And then of course you've got rooms adjacent to it under the same roof and other phase of Londoner. Plenty of rooms there, more than most hotels have in any place else. So I think the results will speak for themselves. This has been a long hard process for the team over there, but it's probably coming to a head and we believe, and will always believe that assets drive results. This asset is extraordinary and yes, we'll see some buzz in February, March, you'll see more in May, but we're in this for long haul and Londoner will be a world-class asset and take its place alongside some legendary performers, just like Marina Bay Sands did and Venetian did.
Brandt Montour: Okay, that's super helpful. And then a follow up question would be on the Thailand opportunity. I know it's really early, but I'm sure you guys have done plenty of work so far on that market and maybe you could just talk high level about that opportunity versus your large coming second build out investment in Singapore and sort of how you think about those two markets vis-à-vis each other, and if they sort of are totally separate opportunities that wouldn't have to be considered in relation to each other?
Patrick Dumont: So a couple of things here. So I think first off, Thailand is an unbelievable tourism destination. It has very desirable attributes, great culture, great food, just beautiful scenery. It's a great place to visit and I think it has a great opportunity to add destination resorts and create a very large-scale industry there. The great news is there's an enormous tourism base there already and it's separate and distinct from people who go to Singapore. Is there overlap? Sure. Do people go back and forth between Bangkok and Singapore all the time? Absolutely. Is there an argument that it actually just strengthens our ecosystem because people have more choice within our environment? There's an argument for that. Although I would say that, I think they're both different offerings. I think if you look at what we have in Singapore, it's specifically tied to the highest level of high value tourism. It's rarefied air when you look who's in that environment and the type of consumption that's there and the type of both business and leisure tourism that takes place. I think in Thailand, it's a completely separate market. I think there will be some overlap, inevitably because people are going to want to see it on both sides. But as a practical matter, given the population base, the visitation they have today and where people are coming from in terms of inbound tourism, it's a separate and distinct opportunity. And that's how we see it and we're excited about it. But there's a lot that has to be done, a lot that has to be learned before it's something that we can evaluate. That being said, it would be great for our industry and it'd be fair, great for LVS if it's possible.
Robert Goldstein: Can I say one thing about your comment about that the mix of those two markets? Think about this for a second. There are about 4 billion Asian people, which I think is about 300 billion more than the entire United States. As I look out the window here in Las Vegas, there are more casinos in Las Vegas than there is in all of Asia. Okay? So my point is there is a whole lot of people in Asia, high propensity to gamble. I wouldn't worry too much about Singapore doing very, very well. There's just not enough capacity. [Indiscernible] used to say, like to build a strip in every Asian country if possible. The point being we'll do very well in Singapore for years and years to come. We'll make all kinds of money there, but Thailand is an extraordinary market and it will do very well. Again, Las Vegas must have, I don't know, 200 casinos. There are not 200 casinos in all of Asia. So the concern about cannibalizing, I think, is not necessarily even valid to think about. Four billion people in Asia are looking for a place to go. Thailand will do very, very well, but still will Singapore -- so looking on.
Brandt Montour: Excellent. Thanks, Patrick. Thanks, Rob.
Operator: Thank you. The next question will be from Dan Politzer from Wells Fargo. Dan, your line is live.
Daniel Politzer: Hey, good afternoon, everyone. Thanks for taking my question. First, I wanted to touch on Venetian. Last couple quarters, it looks like mass volumes have slowed a bit there. Can you maybe talk about a little bit what's going on with that property relative to some of your other properties in the market? And also I think the arena recently opened there. So, any kind of incremental, incremental details on how that's been trending?
Patrick Dumont: One thing I do want to mention, I think the Venetian really is for us the benchmark in Macao and we're very focused on growing revenues in Venetian and maintaining margin there and generating a lot of cash flow and we think it has the capacity to do it. In the first half of the quarter, things were going great and things were accelerating. In the second half of the quarter, there was some disruption in visitation because of what I mentioned earlier on in the prepared remarks, which is the 25th anniversary of the handover. And so there were a lot of things going on in this quarter and one of the things that went on is that base mass was impacted most meaningfully by that event and by that 30-day period. And so, I would not necessarily look at this quarter as representative of the base mass run rate associated with The Venetian going forward. Grant, if you have anything else to add?
Grant Chum: Yes, that's right. And I think with the premium mass, I think the business continues to be very strong there. Also, I think you have to consider that most of the lodges in Venetian, together with the Four Seasons, it plays as a complex for that segment. So, you can see how strong the Four Seasons Plaza was in the non-rolling segment this quarter, up 26% against prior year. So, I think you should look at it in a composite as patrons move around between the two properties. But the base mass as Patrick said was affected during the quarter. We had a very strong first half of the quarter and then it softened thereafter. As it regards to the Venetian Arena, we launched a fully upgraded arena in late November. We've had a few events, some of them more like a warm up event. During fourth quarter we had concerts and then we also hosted the NBA Legends game that accompanied our announcement of the strategic collaboration with the NBA over the next few years. So the facility gives us I think very strong scope to program content for our calendar, entertainment, sporting events, mice groups and at the same time we'll continue to use the Londoner Arena. And really this is another example of the scale advantage and the product diversity that we have. We've learned how to program the Londoner arena successfully. We'll be hosting some major concerts in the Venetian Arena as well as the NBA games in October in 2025. So, we'll have the full flexibility and benefit of having these two great venues for different types of programming and events. And we believe that it's going to support the growth of the business in 2025 and beyond.
Daniel Politzer: Got it. That's helpful color. And then just a follow up. I think for the Londoner all in, you'll have invested around $8 billion. How do you think about I guess the return on this? Is this consistent with some of your other properties in the mid-19s? And if not why would that be? And then how do you think about the timing in terms of the ramp and do you need to see that base mass business come back in the market given that you've certainly invested in making this property a more premium mass centric?
Patrick Dumont: Yes, so I think the key thing here to note is, depends on how long your IRR measurement period is. And so I think for us when we first opened the property it had a ramp-up period where if you sort of looked at it at peak it was at I think a billion one run rate of EBITDA. And so if you sort of drew your trend line off that it would be an unbelievable investment. Then events overtook that measurement and we realized we needed to reinvest and reposition which we did. So if you think of this as a 30-year asset, which we do and you look at the potential cash flow generation out of this asset given its positioning, its theming, its amenities and its structure which is not replicatable anymore in Macao, we feel like this is a very high return potential asset and that's why we put the capital into it. If you look at its structure, you look at the room count, you look at the organization of the casino floors, of the retail and of the amenities around it to support the activity of our patrons, there's nothing like it. Right? And so we feel like this asset will provide very high returns over time otherwise we would have done it. If the model didn't work, it wouldn't happened. But I think it depends on how you view the market and how long you view the asset to be running in this way. But we've done the major structural lift, so we think we're in good shape to carry this asset forward for years to come.
Robert Goldstein: Again, one additional comment to Patrick's. I think you made a comment that's BMS [ph] centric I would disagree. It's market segment is open to everything. What makes these buildings so powerful like the Londoner innovation successful buildings in the world get everybody. They get the basement, the grind, the pre math because they have all kinds of capacity. They've got sleeping rooms, they've got retail, they've got entertainment and they've got just capacity. What makes it special versus some of our competitors, they don't have that scale capacity of lodging and gaming. This Londoner thing better have it all segments to get the numbers I want to see get to which is far beyond $1 billion. And I think the answer is, I think Patrick said it well, it's a time issue and how you view the market. Had we not fixed the Londoner it wouldn't be competitive [indiscernible]. [Indiscernible] Central couldn't withstand the pressure and face market. Londoner will not do well, do very well. They'll do well with not just premium mass, the base mass drawing everything it's going to dominate, just like The Venetian. Venetian didn't get there simply with high rolls, you get to, you walk in, it's all poker, there's base mass, there's all kinds of lodging, all kinds of retail, all kinds of food and beverage. That's how we modeled the Londoner. That's why it's going to be a billion plus dollar building when it gets fully operational.
Daniel Politzer: Got it. Thanks so much. That's really helpful.
Robert Goldstein: Sure.
Daniel Briggs: Thanks Dan.
Operator: Thank you. The next question will be from Chad Beynon from Macquarie. Chad, your line is live.
Chad Beynon: Hi, good afternoon. Thanks for taking my questions. Rob, you mentioned in your prepared remarks that there was a decline in the turnover rent. It looks like I believe pretty much all of that may have been at the Four Seasons. The other properties in Macao and in Singapore had some nice increases year-over-year. So firstly, I just kind of wanted to ask about that if that was something related to maybe some VIP business that was there last year or anything structural in the property? And then secondly, I know the market and everyone are expecting visitation and GGR to be up next year. Is there anything in the model that would put a lid in terms of what's happening with retail given where the base is right now? Thanks.
Robert Goldstein: Yes, I'm going to defer to Grant Chum, who should answer this question. Grant?
Grant Chum: Yes, thanks, Rob. Yes, the turnover rent change is largely related to the Four Seasons Mall last year, or I should say 2023. That was a record year. That was an all-time high for the Four Seasons more in terms of retail sales coming out of that post-COVID spend. So when you look at year-on-year comparison, 2024 against 2023, the turnover rent is heavily impacted by the sales at the Four Seasons being down year-on-year. And there's nothing structural, there's nothing one-off about the 2023. I think it's just the way the sales evolved straight after the pandemic and of course the softening macro environment thereafter. I think we're strategically very well positioned for the retail sector. Over the next 18, 24 months, we are opening a number of very significant flagship stores across a number of the major brands. You've seen the first of these opening in November in Four Seasons with the Audemars Piguet AP House, the largest in Asia. That will continue in 2025 with some other major flagships and also significant store openings. So we feel that between now and end of 2025 you're going to see a further strengthening in the tenant mix and the product offering in the mall. And hopefully that positions us very well for the eventual recovery in the macro and the retail sales that will come with it.
Chad Beynon: Great, thank you very much. And then back to the U.S. I know we talked about a few potential legislation positives or opportunities. Anything change in terms of your view on Texas, the timing of that and kind of where things stand down there.
Patrick Dumont: So as we said before, we think Texas has a great potential as a market for our business, but there's really nothing to report at this point. The session just began and we'll see how it goes.
Chad Beynon: Great, thank you very much.
Daniel Briggs: Thanks, Chad.
Operator: Thank you. The next question will be from Joe Stauff from SIG. Joe, your line is live.
Joseph Stauff: Thank you. Good afternoon. Rob, Patrick, Grant. I had two questions on MBS, please. One, you know, where are you seeing the say the biggest early returns from your investments thus far. I'm wondering if it's more heavily weighted towards a particular metric. You know, longer stays, new customers, higher spend. And then my second question really is on a longer-term basis for MBS for the three towers as we think about the ramp in EBITDA, Patrick, you had mentioned Singapore certainly is rare fried air, but could you comment on longer term what these new investments and where you think the biggest opportunity is for you to ramp EBITDA?
Patrick Dumont: So I really appreciate the question. I think for us Marina Bay Sands customer base is very diverse, diverse markets around Singapore who all want to do business in Singapore or all want to go there for leisure purposes. And the spending habits are very powerful and I think the biggest growth that you'll see is if you sort of look across our business, it's in every facet. You know, credit to the team there, they've done phenomenal work this quarter and utilizing the assets that were put into production and they still don't have everything in inventory. And so I think the key thing here is if you sort of look at our gaming growth, it's been fantastic, particularly on the non-rolling side, absolutely phenomenal. And in both segments in terms of slots and tables, but also on a rolling basis it's been very strong. I think the other thing is if you look at the non-gaming side, it's been extraordinary. If you look at the across-the-board things have performed incredibly well. We just had a question about retail in Macao, but if you look at the retail in Singapore, it's performed incredibly well and shown to be very resilient. So I think the offering there is quite strong, addresses the market properly and I can't really point to one thing to say that, it's the way to measure the investment. I think it's a very holistic approach. Rob earlier mentioned that we address all segments. I think in Singapore the market is filled with high value tourists and we really address with a variety of amenities something that's very unique and that experience in our ecosystem is not replicatable and so I think we get the benefit of that. And I think you see the results in our EBITDA this quarter and I think there's more to come. And I think when we get the rest of Tower 3 online and we get some of the other investments fully in the rooms completely done, I think you'll see the power of this building as people start to figure it out.
Robert Goldstein: I think that building, have you been there? Have you seen that building?
Patrick Dumont: Joe was there with us.
Robert Goldstein: Okay. If you've been in the building, you see it, there's just nothing like it. And the epicenter of affluence in terms of it's got the room product, it's got the sweet buy, the food and beverage, it's got it all. And I think for people who can afford the experience and want to gamble, which is a lot of people in Asia, it's just a very unique product. It's going to capture all those people. It's also got a wonderful place to be which is Singapore itself. So, I think we're in the right place, right time to keep growing that and we measure obviously the profitability and the profitability is soaring, but I think you're just and the best is yet to come. I mean Singapore is just the beginning of its run. As Patrick alluded to, the quality of asset finishes, et cetera, are extraordinary and it's hard to replicate. So I think we have every confidence we're just beginning of this thing, not the end. It's not aberrational, it's just the way it's going to be. Singapore is an exceptional asset, A very strong market, lots of countries driving it and also it's the beneficiary of lots of great publicity and awareness of how people saw MBS. They see it on newspapers, magazines, the Internet. It's very powerful, a real brand to us. So I think you're at the beginning of an exceptional growth story in Singapore as the asset matures this summer. Again, I think the future is very, very strong.
Joseph Stauff: Thanks very much.
Robert Goldstein: Thank you.
Operator: Thank you. The next question will be from George Choi from Citigroup. George, your line is live.
George Choi: Thanks for taking my question. First of all, we noticed the introduction of some new baccarat side bets since late September in Macao. And would you please comment on how popular they have become and its potential impact on Holiday's longer-term. And I have a follow up after this. Thank you.
Patrick Dumont: George, I got to tell you, they're very popular with me. I think they're great.
Robert Goldstein: Unfortunately, you have to bet that much. [Indiscernible] everything. George, I think you know the story. I appreciate the question. It's a very, very powerful possibility. It's not a reality yet but the side bets as you know, are akin to parlay bets or you know, wages on the sports betting it's more of a profit, more of a long shot type bet which people gravitate to. Some people like it, the house advantage is much higher than the flatbeds, the usual bank player type player. So for the industry we're at the forefront of this, we want to offer those bets and hopefully the customers will come towards them. It's got great potential. It's early days yet. But as you know, this baccarat run is our primary business. It can be very, very powerful in the years to come if the customers decide to take, higher long run type bets because they do benefit the house. No surprise. There was an article recently, I think it was a journal about sports betting and parlay betting. It's akin to that. So we're hopeful that more people will partake in that. It helps drive the curve and it'd be very advantageous for those companies who are baccarat centric like Las Vegas Sands.
Patrick Dumont: And just to sort of. Yes, I think the key thing here is it's early days yet and so I think our goal is to continue to evaluate how the market is adopting and actually choosing to utilize those bets, but we'll see.
George Choi: Thank you very much. And obviously very encouraging to learn that you have 700 more suites at Londoner Grand open after the year end. I'm just wondering if you have opened any new premium mass capacity at the Londoner Grand?
Patrick Dumont: On the gaming floor?
George Choi: Yes.
Robert Goldstein: Grant.
Grant Chum: Yes, yes, we did. We just opened. Yes, just around the time of the Lunar New Year, we opened a new premium mass salon on level one of Londoner Grand. So we're obviously ramping up on the gaming side in sync with the room inventory.
George Choi: Thanks for your comments.
Robert Goldstein: Thanks George, as always I appreciate it.
Operator: Thank you. And the next question will be from Steve Wieczynski from Stifel. Steve, your line is live.
Steven Wieczynski: Yes. Hey guys. Good afternoon. So Patrick or Robert, maybe even Grant, if we go back to the Londoner, obviously you have that coming back online over the next couple months and obviously your competitors in the market know that property is coming back online as well. So, you know, the question is, have you seen any changes in the promotional activity from your competitors in the market in anticipation of that property coming back online?
Patrick Dumont: I think first off, I think we've mentioned this in the prior quarter's call. Macao has always been incredibly competitive and very promotional. And I think to the team's credit there, they've been very disciplined. You know, when we closed the P6 casino, there was some promo-ing there to move people around and we talked about that. But I think it's a practical matter. We're very focused on leveraging the assets that we invest in for the long term to drive customer visitation and patron experience. And I think for us the goal is to be disciplined in the face of this market, which by the way, is ever evolving. If you go back more than a decade, there were different segments that are in favor, different ways that people thought about those segments and invested against the opportunity and I think that's what we have today. I think we have a very competitive market as we've always had. I think people are investing against the segments in the way they think that will create the most profit for them. And I think for us, we're doing the same thing. But our model has been pretty consistent, which is about investment in product, investment in a great team, great service levels, and focusing on the way that we can drive margin and cash flow. Grant, do you have any other comments you'd like to add?
Grant Chum: I think you said it well. I think we remain focused on EBITDA generation and the profit share. And if you look at the third quarter results, when all the results came out from all of the operators, I think those who gained revenue share didn't necessarily see that translate into profit share gain and I think we continue with our strategy. I think it remains competitive regardless of whether we're bringing Londoner Grand suites online or not. I don't think that changes. I think that's a constant. And so our constant is that our strategy remains leveraging our core products, leveraging the quality and scale of what we have and the coming online of the rooms and Londoner Grand is the perfect opportunity for us to really drive home that strategy. And we really look forward to having the full inventory in place and then from May Golden Week into the summer and for the rest of the year we hope to see that really deliver for us.
Steven Wieczynski: Okay, thanks for that, guys. And then real quick, Patrick, you obviously brought up the President's visit in December. I'm not sure if you're going to be able to do this or not, but just wondering if you guys have some sort of estimate on what the potential impact, from his visit was on your properties, during that time frame.
Patrick Dumont: Unfortunately, I really can't give you an estimate. All I can tell you is that there was a noticeable change. But the important thing is that we're looking forward to a grade 2025. We're excited about the opportunity. We feel really good about where our assets are positioned. We have a great team; we have great service levels and we're excited about what we can do now that we're finally getting all of our assets back in inventory. We're looking forward to it.
Steven Wieczynski: Okay. Thanks, guys. I appreciate it.
Patrick Dumont: Take care. Thank you.
Operator: Thank you. If there are no other questions at this time, thank you ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.